Jarle Dragvik: Good morning, and welcome to HydrogenPro's third quarter presentation. As usual, I'm accompanied by my excellent CFO, Martin Holtet, who will present the financial results. I will take you through the highlights and our recent developments, market updates and our partnership strategy. For those of you who do not know us yet, HydrogenPro is an OEM company, focusing on core technology, which is well suited for renewable energy sources. Our products are pressurized alkaline electrolyzers and a gas separation unit skid. Addressing market for decarbonization of selected large-scale industry segments, which are already using gray hydrogen or where decarbonization is hard to achieve through electrification. HydrogenPro is delivering to 2 of the largest projects in the world. Right now, a 220-megawatt project, which is starting up these days and 100-megawatt project, which we have delivered, all the main components, and now we are producing our third-generation electrodes in our new factory in Denmark. Few other electrolyzer OEMs are delivering to projects of the same scale. Of the recent highlights, our revenue last quarter ended at NOK 35 million. with a gross margin that improved to 55%. We continue our strong focus on technology improvement and expanding our electrode testing and development. The previous announced partnership with Thermax is on a good track. And also our work to establish a foothold in the Middle East is making very good progress. And last but not least, I'm very happy to announce the embarkment of a new Head of Sales and Commercial. Martin, please.
Martin Holtet: Thank you, Jarle. Then I will walk you through the Q3 financials. So in the quarter, revenues came in at NOK 35 million, and those revenues are mainly related to deliveries on the ACES project. On top of that, deliveries of electrodes to the SALCOS project also then commenced in the quarter. Gross margin came in at 55% versus 22% in the second quarter. If you recall, in the second quarter, the gross margin was negatively impacted by some cost provisions on the SALCOS project in particular. So we could say that it's -- now we're back more to normalized levels. Personnel expenses was up NOK 4 million, and that increase is due to that we have made severance payments, which is then related to the reduced activities at our factory in Tianjin. The number of FTEs is considerably lower with a lower payroll now going forward. Other operating expenses increased by NOK 9 million in the quarter compared to the second quarter. And the main driver behind that is, first and foremost, project deliveries, where we then accrue more costs when we make a delivery, which is then -- also then sort of accounted for as -- in our financials with revenues and costs simultaneously. In addition to that, we had also some lower level of grants, which means we have then a reduction in the deduction of expenses compared to the second quarter. So the EBITDA came then in at minus NOK 45 million in the quarter. Then let's look into the development in the liquidity position in the quarter. The cash balance at the start of the first quarter was at NOK 107 million, and it ended at NOK 121 million. So the changes in the cash position were as follows: we had an EBITDA then of minus NOK 45 million, changes in net working capital of minus NOK 3 million. NOK 6 million was spent on investments, mainly in the production line in Denmark. So on the production line in Denmark, we have a total budget of NOK 60 million, where we, as of end of September, have spent NOK 42 million. And that line now is fully operational and -- meaning that the remaining investments, which we are now taking, will be then related to further improvements on the line. Financing of NOK 68 million, mainly reflects LONGi's equity investment that was settled in July this year. And last here, the backlog then decreased from NOK 284 million to NOK 252 million, a function of revenue recognition in the quarter and no order intake. On the cost side, so at the start of the year, we set a target to reduce our cost base with NOK 40 million of annual costs or call it roughly 20% of our cost base when we do not include project-related costs. We have now completed that cost program. The number of employees in the quarter were reduced from 147 at the end of the second quarter to 89 at the end of the third quarter, and that is mainly then due to a reduction of the staff in China. So please be aware that the cost program that excludes all project-related expenses, and it's important for us to keep now some competence -- the core competence in the organization in order to deliver on projects. One of our competitive advantages is to maintain a low cost base. And we will, of course, assess further measures going forward in line with the market activity. But our business model with strong partnerships enable us to have a global reach, win contracts on a global scale, but at the same time, remain a lean organization with a low cost base. So with that, I'll give the word to Jarle to give an update on the market.
Jarle Dragvik: We have to ascertain that the year has been more challenging than what we saw at this time last year. It's a slower growth than most expected. Only 30% of green hydrogen projects has advanced -- have advanced. However, some completions and feasibilities we do see going forward to FEED and into approvals. But again, 90% of the 2023 and 2024 CODs projects are delayed with more than a year. But we can also see that the delays are getting shorter year-by-year, as we're coming up to 2025 and 2026. As said, we must ascertain that growth is slower than expected. But according to Global Hydrogen Review, the underlying growth is showing strong progress. The installed capacity grew with as much as 145% from 2024 to 2025. Much of the growth is driven by China, but we also see significant growth in other parts of the world, among others, HydrogenPro's project in Utah, United States. Another positive trend is the number of countries developing a hydrogen strategy is growing, which again supports continued growth in project development. So despite a slower growth than expected, a solid progress shows strong underlying fundamentals. Well, this is a busy slide, and I do not intend to go through this in detail, but it is available for the interested reader on our website. The table as such, is not exhaustive, but it is a snapshot of some selected regulations in markets which are in focus for HydrogenPro. And what we see is that more and more of regulations are introduced as well as adaptations of existing regulations like in Europe, where not all regulations have worked according to its intent, but now being adjusted or amended. IEA just issued its annual World Energy Outlook for 2025. Here, they expect the green hydrogen production to increase 70x during the next 10 years. Their forecast is based on adopted policies, proposed measures backed by a market and infrastructure support. The train might be rolling slower than previously expected, but it is for sure rolling. The stated policies are charting the path to a large potential of green hydrogen. And I am very pleased to now introduce Michael Caspersen as new CCO in HydrogenPro. Michael has a strong background, both technically and commercially. He comes from Boston Consulting Group, where he has led several projects along the hydrogen value chain. In addition to several years in Siemens, where he had a key role in starting up and commercializing their electrolyzer business. Michael holds a PhD in hydrogen technology and will, with his background and experience, bring great value to HydrogenPro's management team. His extensive technical and commercial experience will be instrumental in delivering our future growth. Erik Bolstad will continue assuming the role as Director of Partnerships and Key Account according to our strategy. The commissioning of the ACES project is progressing well. All trains have been through the initial start-up. A train here means 2 electrolyzer connected to one gas separation unit. And the electrolyzers are doing their job as the project goes into next phase of operation. On the SALCOS project, we are now delivering the Generation 3 electrodes from our new production line in Denmark. I was recently a few weeks back in India, and I met with several potential customers. And we are now building up a pipeline by submitting firm quotations to project owners, having won in India's hydrogen auctions. Also on the technology side, we are supporting Thermax in developing their gas separation assembly station, and we are progressing well on the Indian market rollout. Based on our strategy, we are also progressing on establishing a foothold in the Middle East. We see that Middle East, together with India, having the lowest cost for producing green hydrogen and are expected to have the lowest cost in 2030. On the way of getting a foothold, we are working together with selected partners and governments where we are building a good relations. As an example, we have appointed now Sheikh Rashid Al Maktoum's Sustainability Adviser, Claudia Pinto, as also adviser to HydrogenPro. The market is driving more and more in the direction of customers requesting total EPC and a complete solutions from power in one end of the plant to direct compressed gas in the other end. This is much driven by strong industrial project developers. HydrogenPro is focusing on core hydrogen equipment. But the customers, they are also occupied with hydrogen equipment and its performance, but then bundled in a total EPC. And together with partners, we fulfill the scope demand, meeting all customers' selection criteria. The electrode coating line in Aarhus is in full operation, producing electrodes for Salzgitter project. We have expanded our testing and development capacity and are now testing electrodes in various conditions, new enhanced materials and longtime effects, and it gives results. As we are developing new and even better coatings combined with technology and design for reducing shunt currents, we are testing out and proving better results with lower energy consumption for producing hydrogen. The goal is to get the power consumption with as little kilowatt hour per cubic meter produced hydrogen with as high current density as possible. The red line in the graph, which is already a very good compared to general market, but as you can see, with a shape which is common for electrolyzers. The bottom green line shows the results of our latest development, which we will now continue to develop for commercialization. The technology strategy and roadmap is to continue to reduce power consumption, commercialize the 30-barg solution, lower the cost by reducing weight of the electrolyzer and optimize the hydrogen production train with increased current density. We have a clear and detailed plan for development and maintaining a forefront position technologically. During the year, projects in our pipeline have been postponed and with further delays. But the pipeline projects, they are being very robust with high-quality company and owners. In Europe, there is a strong traction together with ANDRITZ and JHK with projects ranging from 20 to 200 megawatts. They have been moved from 2025 FID, but now to 2026. Based on funding and regulatory compliance, we believe to see these materialize during next year. And also India, we are now seeing a buildup of a strong pipeline, which we expect some to FID in 2026. 2025 has been a slow year, but based on the pipeline projects, we are remaining optimistic for 2026. And with that, I thank you and invite Martin also for the Q&A session.
Unknown Executive: Here comes some questions from the audience. The first one, why does Mr. Espeseth sell so much of his shares and stocks?
Jarle Dragvik: We have no influence or saying on shareholders buying or selling shares. Obviously, we welcome every shareholder who is buying shares and are equally saddened with those selling, but there are several motivations for selling and buying shares. And obviously, we're also dependent on the volatility in the shares. To the explicit of Mr. Espeseth, that question has to be asked to him. But we know that, for instance, in Norway, we are burdened with what you call -- [ fortune ] tax, what we call it?
Martin Holtet: Wealth tax.
Jarle Dragvik: Wealth tax, thank you, which can be one reason, but this would be speculation from our side. I don't know his personal situation.
Unknown Executive: What deliveries remain to ACES project, excluding the service agreement? And do you expect any deliveries to the project in Q4?
Jarle Dragvik: Martin?
Martin Holtet: No. So with regards to deliveries, of course, we are doing now some on-site work still. But as Jarle explained earlier today, the project is now soon to start up. And of course, then there will be sort of the -- call it, the final handover of the project to our clients from our side. But with regards to equipment, everything is delivered from our side.
Unknown Executive: And is it possible to disclose how much of the order backlog that consists of the service agreement with ACES project?
Martin Holtet: Yes. So we do not provide sort of a breakdown of the backlog on projects. But I think we have previously indicated some sizes of that. And the majority -- the far majority of the backlog is related then to the service agreement on the ACES project, while the -- call it, the other remaining part of the backlog is related now to the outstanding deliveries on or remaining deliveries on the SALCOS order, which is then the electrodes now being produced in Denmark.
Unknown Executive: There are several questions regarding the LONGi partnership. So how is the partnership progressing?
Jarle Dragvik: The partnership is progressing very well. We are in good discussions and planning of consolidation of the manufacturing capacity in China. We also have discussions on technology side and share of experience and also developing cooperation in other areas, but things like this does take time, but we have an excellent cooperation with LONGi.
Unknown Executive: And one question is with all the future optimism and growth prospects you see, why are the insiders not buying stocks to show a commitment?
Jarle Dragvik: Well, there are several reasons. First of all, there are some programs of options that has been running. Some has now, what do you call it, been running out in time...
Unknown Executive: Expired?
Jarle Dragvik: Expired. Thank you. And also, we are often confronted with positions of being an insider position. A small company like HydrogenPro with -- being negotiations with customers, future orders, it could be other strategic discussions, are limiting the windows for buying shares.
Unknown Executive: And what would you highlight as the main explanations for the delays in FIDs in Europe?
Jarle Dragvik: It's several, and I think we have touched upon it in also previous presentations -- previous quarters, but unclarity in regulations is clearly one major reason. Another reason is that it does take time to build the value chain. So the offtake side, which, again, also dependent on the regulation side has also caused delayed. And then we have had behind us, as we know, a period with high inflation and cost increase, increases in energy prices, which has made a lot of the project owners having to recalculate their investment projections and calculations. And all this together basically has caused much of the delays.
Unknown Executive: And how are the contract values allocated between you and Thermax for potential orders in India under your current partnership? And would your electrolyzers carry the same pricing and margin profile as in other markets?
Jarle Dragvik: Yes. Good question. Well, in terms of the revenue profile, I think we can say that it's a bit similar profile as you would see with our partner, ANDRITZ in Europe, where Thermax will take the full EPC and basically sell the total plant more or less in a turnkey setting. We will then sell our part of the equipment to Thermax. Now India is a very price competitive market, no question about it. We have yet to finalize, obviously, final contracts with customers in India, although we are in good discussions. But until then, we will see. But I think we have to be realistic to also see that India is competitive.
Unknown Executive: And do you -- do the recent project awards in this market represent kind of early signs of recovery or green shoots in your opinion?
Jarle Dragvik: Well, recent -- there has been some -- I don't know if the question refers to some of the announcements here in Norway. It's very small projects, although giving a positive sign that project owners are taking the steps toward FID. We see also same kind of movements on larger projects in some place of Europe and also other parts of the world that we have mentioned. So I think we see that project owners are getting more confident and ready to take FID.
Unknown Executive: One big news is the recruitment of CCO. So what does this indicate about HydrogenPro's ability to attract strong competence?
Jarle Dragvik: I think if you look at the recent recruitment, but also not just that, if you look at the recruitment we have done over the last 1 or 2 years, see that it's very high quality and good competence that we have been able to attract. And I'm very proud that a company like HydrogenPro is able to attract competence several people with PhD and also Masters, but also on the engineering side, commissioning engineers, et cetera, that we have attracted over the year shows that we are attractive. I think it also shows that a lot of people are still looking into -- going into sustainable energy and the green sector and wanting to make a better world and therefore, coming to companies like HydrogenPro.
Unknown Executive: And some detailed questions about the projects. So how many projects with LONGi and the Thermax are in FID, if you are able to disclose?
Jarle Dragvik: No, we do not disclose details of our pipeline. We will announce projects that's being awarded in due course.
Unknown Executive: Okay.
Jarle Dragvik: Thank you very much.
Unknown Executive: Thank you.
Martin Holtet: Thank you.